Operator: [Audio Gap]  
 Please note this conference is being recorded. [Operator Instructions] I will now hand you over to your host, Bernard Delpit, CFO, to begin today's conference. 
Bernard-Pierre Delpit: Good morning, everyone, and last opportunity for me to wish you a Happy New Year. Welcome to Alstom's webcast dedicated to the third quarter of the fiscal year '23/'24. I'll start by sharing the key highlights for the periods orders and sales before giving an update on the company action plan presented in November.  
 Starting with the order intake, Slide 3. Order intake totaled EUR 5.5 billion in Q3 and now EUR 13.9 billion year-to-date. Commercial momentum in Q3 was good, particularly in Europe, Australia and in the Middle East. Services and systems continued to deliver a strong book-to-bill.
 We also saw a good performance of small orders with order intakes above EUR 2 billion in the quarter, which is good for profit and cash. Small orders represents 17% of order into year-to-date, above last year mix. Backlog remains stable at EUR 90 billion with positive book-to-bill, offset by negative FX trends.  
 My second comment is that, overall, we are very satisfied with the quality of this order intake. The margin on orders continues to largely exceed the margin traded in the P&L. And it is fully consistent with midterm objective, both in terms of margin and cash. As a result, margin in backlog is improving, supporting our trajectory of profitable growth. It has improved again in Q3. 
 Looking ahead, we expect this positive momentum to continue in Q4 and in the next quarters, in particular on service and systems. A number of deals have been announced, but are not yet booked, like AlUla tram system in Saudi Arabia, our monorail in the Dominican Republic, and we have a good flow of small orders.  
 On Slide 4, a few contracts reflecting the commercial successes of this third quarter, 2 major service orders in the U.K. and Australia for nearly EUR 1 billion each, demonstrating the strength of our fleet maintenance franchise. The financial closure of the Tel Aviv Green Line tramway system project should be noted in the context of the region. And a landmark signaling project in France, complex and critical for public transportation in Paris.  
 Turning to sales. Organic growth was sustained at 4.6% in Q3 and 7.3% of 9 months. Strong performance of service, system and signaling product lines, all delivering close or above double-digit organic growth over the 9 months, and continued ramp-up in Rolling Stock with organic growth above 5% over the 9 months.  
 ForEx and Scope continue to weigh negatively on sales profile, mainly due to the strength of the euro against the USD and other U.S. depicted currencies. We also confirmed the target of around EUR 1.7 billion of sales at 0 gross margin for the full year '23/'24.  
 As you know, deleveraging is our #1 priority, and the teams are fully mobilized to deliver on our operational and commercial agenda on cost efficiencies and inorganic measures. First, some update on operational and commercial actions. On the operational front, we continue to ramp up production with 3,415 cars produced over 9 months against less than 3,000 over the same period last fiscal year.  
 On inventory management, we have taken actions to improve inventory turns in days of sales. We expect inventory days to show some improvement during the second half of this fiscal year. December figures on the raw material are very encouraging. We have now implemented rolling forecast systemically across the business. This process includes a monthly monitoring of contract assets, which allows us to take rapid actions and helps improved visibility and predictability of cash generation.  
 Second, on cost efficiencies. As you see on the slide, process is now well engaged with implementation mostly expected during next fiscal year, and we confirm the 1% of sales target in terms of savings.  
 Third, the road map towards strengthening balance sheet by EUR 2 billion from inorganic measures is also confirmed. Since November, we've made significant progress, and we are committed to giving the precise magnitude of each inorganic transactions in May.  
 Regarding the progress made to date. On disposals, the target is to raise EUR 500 million to EUR 1 billion. We are working on more than a handful of assets that have a combined potential of proceeds in excess of the top end of the target range of EUR 1 billion.  
 For obvious reasons, we do not comment on ongoing processes and transactions. We want to make sure that we strike the right balance between the impact on the overall group strategy and the impact on leverage ratios. Regarding private capital and hybrid solutions, we are considering various options we deemed viable from a strategic and financial standpoint. And we will also -- and we'll also contribute towards decreasing the leverage ratios.  
 Finally, as expressed on November 15, the need for capital increase is contingent on the progress and the expected proceeds from both disposals and equity-like transactions to meet the EUR 2 billion objective. Again, we will be making a decision no later than full year results in May.  
 On Slide 7, let me give you a few updates on the 2 projects we highlighted in November. Amtrak. First, as you remember, the train homologation in the U.S. is the next key milestone. We've made meaningful progress with the numerical model of trend behavior on U.S. tracks. This has been now accepted by our customer Amtrak and is being reviewed by the regulator, FRA. Tests have resumed in January, as planned. Production is ongoing and payments are progressing.  
 On Aventra, production is progressing since September. 97% of cars have now been produced, and we expect full completion in the first quarter. Acceptances have significantly improved at 82% of the program and payments are continuing with further progress expected during Q4, and an 89% payment ratio for the full program year-to-date.  
 As we announced previously, we expect the rest of cash in during the next fiscal year. Let me also tell you that we have constructive talks with the U.K. government regarding Derby manufacturing capabilities. Decisions regarding the short-term future of Derby will be announced in all probability during the fourth quarter of this fiscal year.  
 So to conclude, let me summarize the guidance for fiscal year '23/'24. The market remains sound. And it's all on us to be disciplined in our tendering policy. We prioritized quality orders in terms of margin, risk and cash profiles on the back of the good Q3 and of a good flow of deals already awarded. We are happy to confirm a book-to-bill ratio above 1 for the full year.  
 Regarding sales, following a strong 9 months performance, we also confirmed that organic growth will exceed 5% for the full year. We reiterate our adjusted EBIT margin guidance of around 6% for the full year. And regarding free cash flow, we confirm the range of EUR 500 million to EUR 750 million negative for the full year, and therefore, expect solid cash generation in the second half of this year.  
 New financial process and improved operations provide comfort on this guidance. We also confirm our midterm targets, and we are working to generate a sustainable cash performance. Thanks a lot for listening. We will now take your questions. 
Operator: [Operator Instructions] And our first question today comes from Delphine Brault from ODDO. 
Delphine Brault: I have 2. First, you said December figures in raw material inventory are encouraging. Can you provide some details? And second, in your press release, when you mentioned the capital increase, you said that you are studying the feasibility. What do you mean exactly by feasibility? . 
Bernard-Pierre Delpit: Thank you, Delphine. I mentioned encouraging results for raw material inventory as it went down in December against November. So I think we have kind of broken the trend, which is obviously good. I will not make any specific comment for the full year guidance. 
 But what I've seen in December [indiscernible] that we are looking at everything, every month. And it goes in the right direction, no more to say on this front. We are, indeed, for your second question, looking at the feasibility because we are looking at all options for the capital increase. So it means that we are doing our job, I want to say -- I would say, that is to look at all options. It doesn't tell much more than what it states for, I mean, feasibility. 
Operator: And we're moving on to Martin Wilkie from Citi. 
Martin Wilkie: It's Martin from Citi. The question I had was on the free cash outlook. You obviously reiterated the guidance, which is obviously encouraging. In the quarter, you had lots of orders that were not rolling stocks or presumably have fewer prepayments despite the strength in orders. Reiteration of the guidance, is that because you expect more rolling stock in the final quarter and that supports the guidance? Or would you say that some of these other actions on the working capital and so forth has been enough to offset perhaps some of your prepayments? Just to understand some of the building blocks behind the reiterated cash guidance. . 
Bernard-Pierre Delpit: Thank you for this question. I say that we simply reiterated it, as I said, during the November call. It's that first, what I call funds from operations, so EBITDA less investment will be positive. And it's moving in the right direction, too. 
 And as you say, down payments for rolling stock in Q3, considering the magnitude of the book-to-bill, was not very strong, but we expect a pickup in the fourth quarter. So this is what the -- what are the underlying drivers of free cash flow for the end of the year. 
 I understand that you probably would like us to narrow the range of the guidance for free cash flow. Personally, I think that keeping the same guidance and avoiding changing it every quarter is definitely what we are -- what we want to do. And having issued the guidance at the beginning of October, I would say, in the middle of a very difficult situation and sticking to it is -- I think, is good. And as I said in my conclusion, we are comfortable with the guidance, and it tells a lot on what we are doing and achieving today. 
Martin Wilkie: That's helpful. And if I could have 1 other question. Just in terms of -- you've obviously got updated in May around the inorganic cash raise. Does that mean that if you are to choose to go ahead with an equity raise, do it happen shortly after that? Or are there other milestones that need to come later in the year? Just to get some sort of sense, if there is a raise, is it shortly after May or much later in the year? . 
Bernard-Pierre Delpit: You mean, should we announce anything between now and May if something happens, is that the sense of your question? . 
Martin Wilkie: It would be more. When the actual raise would happen, so would the raise happen shortly after the announcement in May as well? Or are there other milestones, whether it's shareholder approval or things like that, that might mean it could happen later in the year? . 
Bernard-Pierre Delpit: Okay. Well, I think we will operate as for any kind of M&A transactions. So announcement when signing and then closing, but it will come later. So we think that we will take our decision on the full EUR 2 billion package once we have more clarity. And when I mean clarity, it means signing on both fronts in terms of disposals and other financial transactions. . 
Operator: And we're going to take a question from Daniela Costa from Goldman Sachs. 
Daniela Costa: I have 2 questions as well. The first one, wondering if you have an update on the cost of -- the cash costs, particularly associated with the SG&A measures and when should we expect them to come in? 
 And then the second question, I think last quarter, you talked about some more [indiscernible]  on some of the customers to closing final deals. Now you seem quite confident on the free cash flow for the second half despite the slightly weaker rolling stock in Q3. 
 Is it sort of both by a changing environment in terms of how you're -- how you see the customers thinking now? And -- or do we still have some of those worries regarding industry delays? 
Bernard-Pierre Delpit: Okay. Thank you, Daniela. On the first question, the restructuring will depend on the geographies where we will have to reduce the number of positions. So we are moving, and I hope that we can be in a position to make some provisions by the end of this year. 
 The magnitude of it depends again in terms of number of position, geographies -- by geographies because social process is not the same everywhere. What I would like to reiterate here that is definitely in terms of magnitude of savings rather than magnitude of job cuts that we should look at it. I really look at that. 
 And frankly, if I can avoid cost of restructuring, I will push for that as much as possible. So not full visibility, I confess today, but it's really moving in the right direction. On the -- on your second question, could you please say it again, Daniela? 
Daniela Costa: Sure. I think sort of in the last quarter, you mentioned that there were some deals that were taking longer time to close, that the customers were a little bit more [indiscernible]. But -- and you had a slightly weaker mix than consensus expected on rolling stock, which I guess means less advances in Q3, but you reiterate the guidance for Q4. So has the situation changed in terms of the industry appetite in closing these deals? 
Bernard-Pierre Delpit: I would say it has not really changed. We've seen some large tenders being postponed, that's true. But on the other hand, we have some specific deals that we are working on and almost done that gives us some comfort on Q4 down payments. So I would say the landscape has not changed, but our visibility, predictability has improved. 
Operator: And up next now, we have Alasdair Leslie from Societe Generale. 
Alasdair Leslie: So a couple of questions. Firstly, just on Aventra, thanks for the additional detail. But I suppose it remains quite tight timeline for now for the first half of FY '24/'25 when you expect this to be finalized. There obviously does seem to be a number of challenges still there. You list, it seems largely unchanged compared with H1. 
 So I was just wondering, can you put those improvements in acceptance into more context in terms of how this is developing relative to your prior expectations? Is it faster, slow relative to 3 or 4 months ago? And whether there's been underlying progress, I suppose, on some of those challenges in terms of customer negotiations and their ability to take the trains as well? So that was kind of the first question. 
 The second one is just on the use of equity-linked instruments. I understand that was kind of predicated on how it affected the rating. Can you share with us any kind of feedback you may have had from Moody's on those arrangements so far? And has it kind of widened or narrowed the scope of what you think is maybe possible from that side? 
Bernard-Pierre Delpit: Okay, Alasdair. I can only repeat myself and look again the details we provide you with on Slide 7. Acceptance has improved. Payments have improved, and production is almost down. And now all fleet is in commercial service, so which is good for the final acceptance. So I don't see a different situation at the one that we expected when we discussed in November. 
 A lot of discussions, including with the U.K. government, with operators and with owners on the contracts that are not 100% ended. Not that different. I mean we expect the program to end in terms of cash-in at the beginning of next fiscal year. And we still have some commercial negotiations going on. And for obvious reasons, I cannot give you more details on that. But Aventra is still a big thing for us, and I would say also a moving part in our financial results. 
 For the equity link, I will not speak on behalf of Moody's. By the way, we have not really started detailed discussion with Moody's because we want to meet them once we have a potential deal with an investor. We are right -- we are moving at the right pace when it comes to scoping, modeling and structuring transactions. 
 We have -- we are, let's say, in a process that is very much like an M&A process, building a data home, working with lawyers on the structuring and having discussions with different kind of potential investors. 
 It takes quite a big amount of work to do this. This is not an easy one, but it's moving in the right direction. And what I try to do is to have different options not to be in a kind of hit or miss situation depending on decisions from an investor and from Moody's. So we are trying to have some optionality here. And again, this is something where we'll have full visibility in May. 
Operator: And now from Barclays, we have Vladimir Sergievskii with our next question. 
Vladimir Sergievskiy: I'll ask them one by one. So the majority of orders came from service contract extensions. Are those coming with any new prepayments or any incremental revenue stream? What I'm trying to understand if there is any P&L or cash flow impact from those sizable order intake. 
Bernard-Pierre Delpit: I try to understand your question. If it comes to service, we have no down payments on services. And most of the time, we don't have any P&L impact right now. And thus, we have some potential kind of back trading if it relates to potential continuation of a contract. But here, we are talking of new contracts. So it doesn't weigh on our economics. It's good for the backlog. It's good for the margin in the backlog. It gives visibility, but no short-term impact. . 
Vladimir Sergievskiy: Understood. That's very helpful. Could I also ask if you would like to provide any potential directional comment on cash generation and maybe debt position last quarter. Maybe give us some idea how the growth debt has changed in this Q3 and whether you are utilizing any revolving credit facilities, including the EUR 2 billion one you recently signed up or all of them remain undrawn. Any color here would be greatly appreciated. . 
Bernard-Pierre Delpit: Yes. But [indiscernible] call. So we do not give details on cash generation, P&L and balance sheet in the quarter. Relying on public information, outstanding CP, you see that's not moved since September. It's very, very stable. That's all I can tell you. 
Operator: And our next question comes from Andre Kukhnin of UBS. 
Andre Kukhnin: I'll go one at a time as well. Can I just start with a clarification on the timeline question. Am I right to think that you will decide on whether to do an equity raise or not by 8th of May at the latest? And then whenever you decide to go for it, then as you described, there will be a normal process of getting shareholder approval and going ahead with it. And therefore, the latest will be 8th of May for potential announcement and then the usual process kind of timeline after that? 
Bernard-Pierre Delpit: Yes, it seems reasonable to me. It's exactly how it will happen. 
Andre Kukhnin: Okay. But it can't come before 8th of May. 
Bernard-Pierre Delpit: No, I don't think it will. It shouldn't come before. Maybe it depends on where we will land for the different 2 other buckets, I mean, transactions in financial transactions -- I mean, equity like or hybrid. But the central scenario is to have a decision by fiscal year-end. 
Andre Kukhnin: And if I may, just a second question, a bit broader in terms of your order backlog kind of maturity and kind of the result in cash profile implications from that. I think we picked up that you provided some details on that into meetings and -- versus kind of the usual steady-state average maturity of about 50%. 
 I think you suggested you're at quite an earlier stage of that, and that's why you are going through this period of excessive cash consumption into working capital. Could you share those details with us? I think I had a number of like 38%. And I just wanted to understand, as we move from that kind of less mature state right now into what should be steady state at around 50%, what is the timeline for that movement? And will that come with further cash consumption? Or are we now already at that kind of pace of cash coming into working capital and from here as you move towards 50, it releases cash. I just want to understand that a bit better. 
Bernard-Pierre Delpit: Well, I'm a bit lost between your comments and your question. I don't know exactly what the question is. I suggest we wait for the full year results where we'll have a quite comprehensive disclosure in terms of backlog, maturity, margin in the backlog and how we make progress to discuss that in detail, okay, Andre? 
Andre Kukhnin: Yes, of course. Maybe if I could have a chance to simplify it. I guess the simple question is that from your current backlog maturity, whatever it is, as you move towards more normal, does that then incur further cash consumption? Or is that what you've already had in the first half of fiscal '24... 
Bernard-Pierre Delpit: If I get you well, it's a question of where we are in the maturity of the backlog and how it translates in the cash profile. So the only thing I could maybe say here that our rolling stock backlog has an average percentage of completion of 40%. 
 So in a way, we are right in the middle of a cycle of where we have already cashed in the down payments. We have not yet cashed in -- the cash-in terms of deliveries. Mostly, it will come later. We are at the stage where we are ending -- but again, it's on average, the development phase and starting the manufacturing. 
 So in a way, that's my perception. We are in the bottom end of the cash curve so -- for rolling stock programs. But again, it's on average, and devil is in the details, so you have to look at it contract-by-contract, project-by-project. But looking at the average, 40 percentage of completion is not the best place to be in terms of cash-in. I think it will improve. That's why looking at the midterm, I think that contract working cap will improve, but still something we are working on our way. Is that okay as an answer? 
Andre Kukhnin: Yes. That's very helpful. 
Operator: And we're moving on now to James Moore of Redburn Atlantic. 
James Moore: I've got some questions. Maybe I'll start one by one. I wondered if we could go back to your inorganic plan. And would it be possible to perhaps go a little further in terms of the total value and the number of situations sitting on the table. I know you said over EUR 1 billion, but is it just over that or materially over that? Are we talking about 3 or 4 situations or 8 to 10 situations? Any incremental color on this very important metric will be welcome. . 
Bernard-Pierre Delpit: I take your point, James. But unfortunately, I will stick to the range in terms of expected proceeds, EUR 500 million minimum, EUR 1 billion, I wouldn't say maximum, but just to give you a sense of what kind of figure we are expecting. Definitely, EUR 500 million to EUR 1 billion is the right way to look at it. 
 But as you said, we are working on a potential above EUR 1 billion. And we know that some transactions will go through for execution or price reasons. That's why we are more working on the potential above what we expect. And again, not only 1 or 2, but more than that. That's the only thing, James, I can tell you. 
James Moore: That's very, very helpful. And just 1 other qualification on your language. You've been mentioning hybrid a bit today. Is that a convertible bond option that will be different, for example, to say, an Air France-Apollo style transaction? So I guess on equity like, do we have a range of possible structures and is a convertible bond an option in that bucket of structures? 
Bernard-Pierre Delpit: Yes, it is an option that we can -- we are looking at. We know that the equity content of such solutions is only maximum 50%. That's why it's not the priority, but I would qualify that as a plan B for this second bucket because this is not as bespoke as a private capital solution. So yes, I see that as also one of the instruments that we have in our toolbox to fill in this bucket of deleveraging, yes. 
James Moore: That's helpful. And just lastly, if I could. On profitability, I think you've talked about sort of 3 levers to move the margin of the company forward in the medium term. So the backlog stratification, which to me seems more straightforward in the F&A 100 basis points, 1,500 headcount piece. 
 You do talk at times about efficiency, which I guess is a combination of ramping up in rolling stock as we go towards 5,500 cars, but at the same time, downsizing in some other facilities, potentially U.K., Germany, which is quite a complicated dance. Do you feel you have line of sight towards the 8%? And do you see that sort of a third piece of the jigsaw as the more challenging bit that has to be navigated? And can you give any color on your confidence on that piece of the efficiency story? 
Bernard-Pierre Delpit: I mean you get it right. I mean please join us because you're very good at explaining what are the drivers of our profitability. That's exactly it. Backlog improvement, SG&A, and I would add R&D when it comes -- what comes beyond the gross margin. And when it comes to gross margin and the gap with contractual margins, it's absolutely what you said. 
 The gap has to narrow because of a more -- more volumes. That's what's happening today, and more efficiency so less what we call under recovery. And it has to do with the program of restructuring. As you know, we have a first tape. We have already taken EUR 150 million of restructuring in Germany. And I think that we are -- we need to do more. That's exactly what we are doing -- I mean, what we are studying as a next step in our industrial adaptation plan. And I'm not in a position to tell you more today, but it's in the cards absolutely. 
Operator: And we're now moving on to a question from Akash Gupta of JPMorgan. 
Akash Gupta: I have just 1 left, and that is on this EUR 2 billion deleveraging plan. So it's been a few months since you gave this number, and I see today you are reiterating the EUR 2 billion figure. The question I have is that how do you or what level of confidence do you have in EUR 2 billion number based on the things in the market, whether it's demand or whether it's your dialogue with customers. 
 Do you think that there is a scenario where you can end up with less than EUR 2 billion to get to your FY '26 objectives, also given some proceeds coming from TMH. And same way, is there also a risk that the ultimate need could be more than -- a little bit more than EUR 2 billion. So anything on that on this EUR 2 billion level of conviction to get your FY '26 target would be helpful. 
Bernard-Pierre Delpit: Okay. Thank you, Akash. First, thank you for raising the point on TMH. We've done it. I think that was a good execution and not an easy one, EUR 75 million. That's not taken into account in the EUR 2 billion, and I'm not changing the number. I mean EUR 2 billion is really what we want to achieve. And in a way or another, we will adapt the 3 different buckets in order to achieve this number. 
 And I'm confident, I would say by definition now, on our ability to reach the EUR 2 billion. So nothing new here. What I can see -- and I think this is something we said during our road shows end of November, beginning of December, we see a lot of appetite for some of the assets we are working on in terms of disposals. We are advancing -- progressing well on the financial instruments even if it's a complex one. 
 As I said to answering to Jim's question, adding hybrid bonds in our toolkit gives kind of fallback for the size of this second bucket. And we are looking at -- and those points from all angles what impact on the proceeds, but on the leverage -- net leverage too, what impact on the long-term strategy. 
 This is why it takes time. And those process, it cannot be done overnight and even over 2 months since we announced it. It takes time. And as we said it, we have ample liquidity to manage this period. So we need to find the right pace between going fast because we think we have to now swiftly execute the plan, but taking the time to choose the right transactions in terms of cost and impact on our midterm targets. But I -- we remain fully committed to the EUR 2 billion. No question, we will not change the target. 
Operator: And from Deutsche Bank, we have Gael de-Bray with our next question. 
Gael de-Bray: I have 3 questions, please. The first one is really a follow-up on that cash question. I mean, can you perhaps remind me why the EUR 2 billion is such a magical number. I mean why not trying to fully get rid of the EUR 3 billion of net debt you have on the balance sheet in order to put -- definitely put behind balance sheet problems once or all? So that's question #1. 
 Then question #2 is on the organic revenue development this quarter. How do you explain the sequential deceleration from 10% in Q2 to 4.6% in Q3? And lastly, thanks very much for the update on Amtrak. Perhaps could you provide a similar picture for the high-speed train contract in France, the TGV M? 
Bernard-Pierre Delpit: Okay. Again, on the EUR 2 billion, it's not a magic number. But I remind you, the chart that we showed in November saying that I think that we -- I mean we will not only deleverage, thanks to specific transactions, but also thanks to cash generation coming from, let's say, kind of EBITDA generation. 
 So from that point of view, it's a balanced plan between what we qualify as inorganic and what should come from organic deleveraging. We have to do, I would say, our homework, too. That's a balanced plan. And I think from that point of view, it's well designed. 
 So no magic trick here is just having advanced plan. the deceleration is just because comps are tough in Q3. And that's why it came down in terms of organic growth, especially for falling stock. So it's a question of base, I would say. 
 And TGV M, no real update here. We will have to discuss it later on with full year results. The situation seems to me smooth, so nothing specific to discuss. 
Operator: And our next question comes from William Mackie of Kepler. 
William Mackie: Three questions, please. Firstly, relating to the divestment plans. Encouraging, you note a handful of assets with good interest. Could you throw a bit more color, please, on where you are in the processes with regard to gathering all potential buyer interest -- receiving indications of interest. And at what point you might hope to make some initial firm announcements even if it's a wide window... 
Bernard-Pierre Delpit: On this one -- the window is between now and May. And I will not refine this because I don't want to put pressure on the team in charge of negotiating, structuring and striking a deal. So it's between now and May. Sorry for that. 
William Mackie: The second relates to the cash program. You've changed some of your budgeting processes to look forward, and I think you launched a series of specific incentives, put some of your leadership team to drive a greater focus on cash. How is that developing? Are there any signs you can share about impacts on the organization and people and behavior at this stage? . 
Bernard-Pierre Delpit: I don't see a specific impact on the behavior of the teams. When we changed our short-term incentive scheme, is just to express the fact that it's -- we are aligned with shareholders in terms of cash generation. I mean it could be very, very detrimental to our own leadership team if we don't make the guidance, right? That's the objective of what we've done. And I think in a way, it works because people are really working very hard. They have always been working very hard, but I can see some very strong mobilization here to make the numbers. 
 So in -- but I mean, the team -- I mean, people in Alstom have always been very motivated. And it's just a way of working that is slightly changing in order to monitor the situation month by month by having teams, traveling from 1 region to another region to be sure that we align what comes from a financial process and what comes from the operations. So again, alignment of leadership team with shareholders and motivation of the whole Alstom company, but no change in terms of organization or behavior. 
William Mackie: The last question relates to your joint ventures and associates within China. Would you share some thoughts on your optionality or flexibility to release capital from the assets that you own within China? . 
Bernard-Pierre Delpit: No, we'll not share anything. It's -- first -- one thing only. It's not one situation. We are talking of different situations with different partners, JVs that are in a different situation from an operational point of view. And if there is a message that we are -- we have a strong partnership with different Chinese industrial companies, large ones, and we like it. I think it was a very strong -- it is a very strong asset for Alstom, and that's all. I mean I cannot provide you with more details. Again, we are talking of specific discussions, and I will not give you more details. . 
Operator: And our last question for today comes from Jonathan Mounsey of BNP Paribas Exane. 
Bernard-Pierre Delpit: We cannot hear you. Maybe in the metro or regional train. No, we can't hear you, Jonathan. We can't hear you. 
Jonathan Mounsey: Is that any better? 
Bernard-Pierre Delpit: Slightly. 
Jonathan Mounsey: Yes. Okay. Just HS2. I remember in October, when you had to warn. At that point, it was very much in flux. The news flow in the U.K. was poor, and it seems you we're not entirely sure how that might fall. Do we have more clarity on the order you've already booked that is going to be the same as was booked or there will be no change in scope? 
 And then the second question, please, related to Akash's question, the EUR 2 billion balance sheet figure. Just want to understand, does that figure not move depending on how much EBITDA you have to sell? I mean how is it fixed without knowing how much you have to sell? 
 And then secondly, also, obviously, it must be linked to future operational performance improvements. Is the EUR 2 billion based on the assumption that you hit your margin target, so that is necessary? You hit your free cash flow targets over time, so that is necessary. Would you need more than EUR 2 billion were you to fail to hit those targets? Or was if the order intake was to fall below, say, revenue for a couple of years and you would to burn prepayments. I mean what I'm really asking then is how robust is that EUR 2 billion figure to a failure to deliver versus the targets? 
Bernard-Pierre Delpit: Okay. On HS2, no change basically. I know that there is discussions on the technical part of the project, but no change from our point of view. 
 On the EUR 2 billion, I mean it's fully consistent with the 3-year plan targets that were disclosed last year. Again, back to what I said in November, the FFO numbers are the ones that are consistent with our EBIT target between H2 of this fiscal year and then March '26. So it's consistent, I would say. 
 And we will not increase the EUR 2 billion target, depending on our views on future developments in terms of book-to-bill, down payment or whatsoever. That's why I think the EUR 2 billion is a good and balanced view of what we need to deleverage the company. 
Jonathan Mounsey: Just as a follow-up to that, do you think Moody's would be happy with the EUR 2 billion where you to undershoot on, say, the margin targets? I would say, 2026, '27, does EUR 2 billion still look enough if EBITDA isn't where you're targeting it to be from that point of view? . 
Bernard-Pierre Delpit: I will not speculate, and I will not talk on behalf -- speak on behalf of Moody's, of course. But I think it's well designed. We discussed it with Moody's. It's -- I think it's -- I mean when you look at the plan, reaching 0 net debt, thanks to the EUR 2 billion and the strong contribution of EBITDA. So organic deleveraging is what we need to do. I mean, there is no magic trick here, and I think it's balanced. 
 So I have no doubts that it will be well received. But again, subject to discussions with the credit rating agency between now and the end of H1 of next fiscal year, which is the kind of a milestone that has been set in the different publications of Moody's. 
Jonathan Mounsey: Very clear. 
Bernard-Pierre Delpit: Okay. I think it's -- we're done. Maybe to conclude our Q&A session, let me please wrap up some of the comments that were made during this call. We confirm our full year outlook and midterm guidance, and it's encouraged by Alstom's commercial momentum and improved visibility and predictability on the group's cash generation, thanks to new processes that we are putting in place. 
 Deleveraging is our #1 priority, and the teams are fully mobilized to deliver on our operational and commercial agenda on cost efficiency program and inorganic measures. We are progressing well on every front, and we will provide you with a full breakdown of inorganic transactions no later than full year results in May. 
 All in all, we're moving in the right direction, and I am particularly satisfied with the progress made on the cash front. On that note, thank you very much, and have a good day. 
Operator: Thank you for joining today's call. Ladies and gentlemen, you may now disconnect.